Operator: Please standby, we are about to begin. Good day. And welcome to the Full House Resorts Second Quarter 2015 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Lewis Fanger, Chief Financial Officer of Full House Resorts. You may begin.
Lewis Fanger: Thank you, Melissa. Welcome everyone to the Full House Resorts second quarter 2015 earnings call. We may make forward-looking statements on this call relating to our estimated future results and other market, business, and property trends and information. We undertake no obligation to update or revise any forward-looking statements that are made today. Actual results may differ materially from those projected in any forward-looking statement as a result of certain risks and uncertainties, including, but not limited to those noted in our earnings release, our periodic reports and our other filings with the SEC. During our call today we may make reference to non-GAAP financial measures. For a reconciliation of historical non-GAAP to GAAP financial measures, please refer to our earnings press release and our Form 8-K furnished to the SEC today. Both of those are available under the Investors section of our corporate website at www.fullhouseresorts.com. And with that outset, it was a pretty active week for us. I was telling the team here today, we have only been here for two quarters, but it feels like we have accomplished a lot already and I’ll highlight a couple of those things really quick. Consolidated EBITDA increased pretty strongly from $2.69 -- $2.6 million to $2.9 million, but if you truly look apples-to-apples and back out the $300,000 from the management contract that expired last year, it’s really an increase of about 26% or $2.3 million up to $2.9 million. We did successfully amend the credit facilities we announced at this week on Monday. The Silver Slipper Hotel that was originally supposed to open in the fourth quarter of last year finally opened in May of this year and so the covenant needed to be adjusted to reflect the actual opening. We made a change. We made a few other changes as well in the credit facilities, including pushing back the maturity date on the first lien, so to expire on October 1, 2016 now. We also created a pricing grid on the second lien to create the ability for interest rate, just go down on that piece. We did note Nambe agreement that we reached in July, a few weeks ago. We had an agreement to help the tribe go through the process to develop and open a casino, and that agreement dates all the way back to 2005. We spent about $662,000 on the process, but the project didn't come to fruition and so in 2011 we basically wrote-off the full amount. Few weeks ago, we reached an agreement to get repaid about half a million bucks and so after expenses and that’s out to $450,000. You'll see that in the second quarter results as well. And then lastly, we also responded this week to the Indianapolis Airport Authority’s RFP with the $650 million project in American Place. Should Dan will talk about that a little bit, but in the meantime we encourage you to visit the website we created for it which is americanplace.us. With all that said really quick, Dan, I’ll let you take it over.
Dan Lee: Okay. Yeah. I think, clearly, the start of the quarter was the Silver Slipper. I will just point out, not only, I think, management team has done a great job there and the marketing which kicked in earlier this year. It was already running up pretty nicely before the hotel opened and then when the hotel opened it’s done even better. We also get a little work here with New Orleans putting in the smoking band and that happened almost the day when the hotel opened. So it’s hard for us to figure out, which is which, I think, there were both positives. And there was a negative, a lot of people haven’t really, aren’t aware of, there is a lot of construction going on on Interstate 10, just to our west, which is where most of our customers come from, and so sometimes there could be traffic jam there, I’ll tell you couple of hours. And so, yeah, we have done real well, despite that highway construction and that will probably continue for the next few months. I think, they are talking about being done by year end. And most of the time, ironically they are doing the work on weekends, so that they don’t affect the commuters into New Orleans, so that’s exactly when it affects us. So but we are doing pretty well despite that. Rising Sun was obviously up a lot over last year, but it’s so close to zero that percentage is really shouldn’t be look at, if you net up the rent there we are -- it’s barely more than breaking even and that’s what we have been focused on and trying to figure out what to there. And frankly, Northern Nevada, I think, it’s doing well, except it didn’t snow. So normally the skies are opened in April. This year they weren’t and so that was the primarily thing that affected us. They have closed actually in mid-March, which is pretty unheard of. So, I guess, global warming doesn’t help the skies industry and otherwise, I think, Northern Nevada is relatively stable in second half. The American Place thing, I feel little bit like does include even in to that [indiscernible] there must have been moment when the ball left his fingers, where he thought, crap this might work, because it’s started last fall, when we were kind of fighting the table games at the race tracks, because that’s the one competitive edge that Rising Sun still has. And we have these meetings in the legislature and we have said, this what we are trying do and inevitably one legislator another one put aside in the hall way and say, well, if you can’t make it work in Rising Sun, why don’t you move your casino to my district, to my friends district at this location and so on, and proposing other cities that we were going to take this, where we don’t move it to. And there are two aspects of it, much more than just a boat, we have the golf course in two hotels there and big parking lot. Second they would take legislator approval to go move it. And third, we will be a [indiscernible] in the town of Rising Sun. We are the largest employer and largest tax payer in Rising Sun. And net that goes back, how do you get legislative approval, when you are really going to set a legislator who represent the district are putting in now. And that, and it was actually kind of irritating to me, because I was sitting there trying to speak for the jobs in Rising Sun, and when you have people, you suppose to be representing all of Indiana, instead we are coming up with ideas that would benefit their hometowns, but to the detriment of Rising Sun. We will then half of the legislative session where the tracks did get tables, but not until five years out. And I would characterize us is only haven’t partly successful, because the French Lake Casino was able to get a tax break right away and we weren’t. So but the tables were put off five years on the track. But that actually gives us bit of odd thing. It actually aren’t public policy, why would say that, why wouldn’t you just have tracks come back in four year, come back in three, but they actually proved it that they would get tables in five years, which puts me in a quandary because how do you put only money in the Rising Sun, when its already out there, it’s going to be track in few years. Then there was issue, a small thing in the bill, that put a cap on the size of each casino, and your cap at the highest capacity that you had since early ’07. And in our case that cap is 1,400 gambling games, now that’s a unique definition in Indiana, because they count a spot machine as one gambling game and they count a black jack table as one gambling, so it’s equivalent to about 1,900 gaming position, which is what most they choose. And that is, almost twice what we actually have today or quite a bit more than we actually have today. And it’s probably three times what we need to have to have the same revenues we have. And I sort of think about, that now that, with the cap on the number of games, those kind of an asset we have here, is something we can do with this. And it evolves into thinking, wait a minute, I don’t have to actually move the whole casino to the detriment of Rising Sun. I know, it just take the slot machines we have in the warehouse and that’s both physically and metaphysically in the warehouse, and move them somewhere else. I mean, to the large extent, those slot machines are an asset of the State of Indiana, not doing anybody any good sitting in the warehouse, why don’t we make a proposal where we build a small casino with the 1,000 gaming positions and put it somewhere else in the state. So then you start looking around where else would you go and there is some pounds like Tahoe and New Albany that don’t have casinos now and there is a little larger town like Fort Wayne, let’s say, 0.5 million people doesn’t have a casino now. But you don’t have to look very far, before you realize the City of Indianapolis has no casino now. And that’s 2 million people in the state where the population is 6.5 million. It’s by far the biggest metropolitan area in the state. It’s actually about the same size of Cincinnati and when you think about it, Cincinnati has the heiress property Downtown Cincinnati a pretty big place. They have got Belterra Park now just Southeast there. They have got Miami Valley just north of town. They have got a very large lodge put in place just west of the town. They have us to the Southwest and Belterra little further to the Southwest. There is a lot of casinos in Cincinnati now and the gaming per capita in that city is around $325 per year and that’s similar to other Midwest cities that have a large number of casinos. And look at Indianapolis and they have a casino 35 miles Northeast and another one 25 miles Southeast. And then, I thought, well, okay, if you take the revenues of those and divided it by the population of Indianapolis, it’s about the same as Cincinnati, they have got 2 million. We get about $200 per capita. So $200 versus $325. So I said, if you had a casino on the other side, on the west side of Indianapolis, because those people are furthest from the existing casinos. Maybe the spending per capita would go towards $300 and if you had an extra $100 per capita in terms of 2 million people that’s $200 million a year, that’s a big number, that’s kind of move the needle. And in fact, we have subsequently decided that we constraint on this and ends up thing beside, if we only move half our capacity, you probably can’t do $200 million, but you can do $120 million. And so then we started looking further where would that be and we stumbled across a site that’s pretty significant. The airport build a brand new terminal that opened in, I think, it was ’06 or ’07, spent $1.2 million, lot of the money, it actually, they went for the very clean balance sheet to pretty levered and open it in ’08. They open it about the same time that the hometown airline went of business, which was ATA. And so the traffic count have not increased at the airport. And they tore down the terminal in 2013 and that had been used for 50 years. While because the old terminal was on the east side of the airport, which was pretty close to Downtown, 10 minutes from the Downtown Conventional Center. The new terminals on the west side of the airport and that’s 10 miles further west. So this is midway between the airport terminal and Downtown. And in tiring it down they ended up the a lot of surplus land and the piece of land that we’ve got most interesting is 135 acres that’s between high school road and Interstate 465 at the foot of what used to be call the Airport Connector. It’s a limited access freeway because right the Downtown. They change the name because we get down and lot it goes to the airport, so people get confused, so it’s now call the Sam Jones Expressway. And even then we are on the half mile from the interchange of Interstate 70, which of course, huge. So a lot of times when you are proposing the casino, you worried about transportation, access, can people get there, you can generate traffic that issue, the neighborhood, is there school nearby and so on. This site has never those problems. It has great access. Every road was design to go to it. There is no neighborhood. There nobody lives next to airport terminal. So we didn’t have to worry about the NIMBY issue. And then as we look further we realize there is about a dozen hotels that are starving. These are airport hotels that use to be near the terminal and some of them are actually pretty nice. There is Courtyard Hotel right near. It was a very nice holidaying cum plaza hotel, the highest place. Totals over 2000 rooms. And frankly financially those hotels were hanging down by their finger nips, one of the biggest ones already close, because of jam incident. Because they are not convenient to the airport, they are not convenient to Downtown and they really wouldn’t be much raising either unless we are doing business with better access. And we thought for extent, let’s wait and when having 2,000 hotel rooms nearby, being close to the airport, and nobody realize pretty much, the airport has non-stop flight circle a day, the places like Charlotte and Atlanta and Dallas, which do not have casinos and we could actually build next to the airport and make it pretty convenient to people to fly in and go to our casino. Now I think a lot of the revenue, I mean, probably most of the revenues is still going to be local just because there are 2 million people there and we would be the only casino actually in Indianapolis. And but there will also be a significant source of business coming from out of state, which was always part of the basis of gaming in Indiana, it’s like let’s put the casinos along the borders and attract people from other state, we are going to be predatory and get tax revenues from Ohio, Illinois and Kentucky, while now, Ohio and Illinois and Kentucky have their own casinos, Kentucky is still coming on and but the other place you can be predatory to put a casino near the airport. So we were looking at all this, when all the sudden, [Alex Stolyar] [ph], who works with us, the airport just put out a request the proposals on all those land and I think it’s maybe perhaps driven by the debt they took on to build that terminal, they have about 3,000 extra acres that they are looking for proposals on and the deadline of this permit to submit the proposals were on Monday. And so we spent a lot of time over the last couple months trying to work up something that we thought was in the best interest of Indiana and the best interest of Indianapolis, because it learned overtime that it’s much easier to propose something that’s best for the state, where you can still make money on. And so we put together, filed it on Monday and it’s -- we look carefully what to do and frankly not far from our office in Las Vegas, there is a successful new lifestyle center called Downtown Summerlin. It’s next to the Red Rock Casino. Red Rock Casino is not actually part of it but you see people walking back to pull it all the time. And I thought what if we were actually in it, what if you had a shopping center anchored by a casino. Oh yeah, seasonless form is that and by the way, for years, it’s had the highest sales for square foot of any shopping mall in the country. So when you look at where shopping malls are around Indianapolis but principally on the Northeast side and yet because of the expansion of the airport to the west, a lot of the growth now is on the western south side, south west side and so we used to go. Okay, let’s have a lifestyle center that has shopping and movie theaters, all that stuff and we’ll use the existing hotels except that they don’t have a real Las Vegas style high-roller suite. They are nice hotels but if you are going to get a high-roller to plan from Charlotte, you are going to need something that’s comparable to what’s in Las Vegas. So we factored into it a 25-room a villa hotel, think of it as the mansion at MGM without the MGM. And so we put in a kind of a conference center and a casino. So we put together this proposal and so you know what, we got nothing to lose. Let’s give it a shot and we’ll propose moving half of our slot machines from Rising Sun up to Indianapolis and we’ll be the master developer of this. We’re a company with the $30 million market cap proposing $650 million place. So obviously we’re going to need partners on this. We’re not mall developers. We’ll talk to different mall companies as there are dozen of significant size, who might want to be part of this. We’re not going to run the movie theaters ourselves. We’re not going to run most of the restaurant ourselves. And before the dust clears, we may even have the partner in that casino but we would be the master developer put it together. And if we can pull it off, I think it will be very profitable. And to put it into perspective, three years ago, let’s say Louisiana put out a request for proposals and I responded absolutely alone. I simply proposed [indiscernible] a company, it was me. I remember when I submitted it, on the form, they wanted to know the office phone number. And I put my cell number because we didn’t have an office yet. And the next day the gaming control agent called my cellphone. He said, I just wondered if that was Billy your cellphone, I said yeah. I proposed kind of the project that the state deemed as the most on the state’s best interest. And so even though I was the smallest company’s applicant, I had the best project that was selected and frankly had the thing teed up to start construction a year later when Ameristar offered us a big price and we sold it three times what he had in it. And so here it’s kind of similar except this time we actually have a company. And it’s actually very helpful to have a company even a small one. And I don’t know where this goes. It’s a long-short. No question it’s a long short. So we’ve now had two days of meetings in Indianapolis. And I can tell you the reaction has been pretty good. And now we’ll expect this to go. And that’s why I say it’s kind of Doug Bootie joined that Hail Mary Shot. And he knows the minute is up his fingers. He must have had that thought that this might just work. And I don’t know if this going to work. I wouldn’t tell you to buy this stock because it was a long short. But I have to appreciate that we are doing our best to try to figure out how to get value out of every asset here in putting the slot machines in the warehouse. And the Airport Authority probably didn’t anticipate anything like this. They were probably expecting UPS to propose a new airplane hangar. And I’m sure they are scratching their head. We are not allowed to talk to them and they are not allowed to talk to us by their rules. We are supposed to make a public presentation at some point in September. They will set up a schedule. Now Airport Authority, most of them are appointed by the Mayor of Indianapolis. And they have those probably year ago, Marion County and the city of Indianapolis is one government run by the Mayor. And he appoints the majority of the members of the Airport Commission. While the city Mayor is quite popular. He is not running for re-election and the election in November. There will be a new mayor. And it will be public or democrat, it will be one of the two and there maybe [indiscernible]. There maybe changes in the Airport Commission. It won’t surprise me if it takes them until year end or even longer. But it also takes legislative approval. Though the legislature means every year but it’s a short session in the even years and a long session in the odd years. I don’t expect this to be taken up and I don’t think we are going to propose it in the legislature that will start in the first quarter. This takes a long time. We want a line-up of mall partner. We want a line-up of lot of things and get it teed up. It took us five years to develop large yield. Don’t expect this to open any faster than say four years. And so -- and even in mall, you don’t start building mall until you know you have ample numbers of tenant and so and so forth. And so well that takes time. And so probably it goes to legislature in the first quarter of 2017. It didn’t surprise me at all from the conversations I heard yesterday. If there is a move to create a study commission, that is more than the Airport Authority, that it might have member’s legislature involved members in the city, members from convention authority, members from the community, some sort of city leadership to figure out, a, do we want a casino? If we are going to have one, where should it be? What other proposals are there and so on? And that’s fine. We won those contest before and you’ll see more of this from Louisiana and so and so forth. And frankly if we are allowed to build this, it should be because we make a best proposal. I think we certainly have stimulated the discussion. And when you propose a $650 million project with no tiff financing, no government subsidies, no government support whatsoever except commission to put slot machines that already exist somewhere else in the state. And as a result of doing that, you’re willing to invest $650 million in a project that is mostly non-gaming in character that will generate 4,000 jobs. So where the casino floor is actually less than 5% of the whole project. That’s pretty compelling. That’s awfully hard for the state to ignore. And frankly we hired outside third-party to do analysis so that we can conclude it that this would generate $85 million a year in state and local revenues. That can’t be ignorant of city of this size and about half of that is the casino, most of the rest is sales taxes. But it also includes property taxes. So I don’t think this will just die a quick death. I think this is going to be a constant conversation for 18 months. We spent a little bit of money put in together for presentation but not much, you won’t even notice it. This has taken us some thought. And we spend a little bit of money but not a lot here in the future, carrying on the conversation so on. And if it ever gets approved then we will have to figure out how to bring in partners and get the things done and so on and so forth, which is something we’ve done before. If we got approval to do this, this will be the 11th major project at [indiscernible] and all 10 we’ve done today have been successful. And so we know how to do this. What we don’t know is whether Indianapolis really wants it. And we will have that special connectivity. Meanwhile, the company is doing fine and we are looking to other stuff. Even if this doesn’t work, the company has a great future. But this was kind of too good an opportunity just to ignore. They put other request for proposals. We responded and the conversation has begun. And we’ll take any questions.
Lewis Fanger: Melissa, we are ready for question.
Operator: [Operator Instructions] We’ll take our first question from Joshua Horowitz with Palm Ventures.
Joshua Horowitz: Hi. Thanks for taking my question and congrats on a strong quarter. It looks like there was improvement in all the segment. Maybe if you could give little bit more color on one segment that didn’t improve which was Nevada, if there is anything alarming there, anything to fix the traffic and weather situation. And then of note, better understand the role of the master developer in American Place. I guess, a little bit more color on capital requirements for management contracts or what exactly, we would do to get the most bank for the buck on this stuff?
Dan Lee: Okay. Let me address about the weather first. Both entities, we have there Fallon and Lake Tahoe would have some. The high it was done more and that’s both get affected by snowfall. We are still working the marketing plans for Fallon. We are the leading casino in Fallon that forms the base of our market. And I think we will get that turnaround but if this is not declining as much as it used to be. And I think it will start feeling better going forward. In Tahoe, be aware, we lease that facility for $1.5 million a year. But we show it’s not being leased. So what we show on the income under EBITDA is net of the rent. So there is an element of financial leverage that happens in there. So when you have a swing in operating EBITDA, we then subtract the rent and operating lease. It magnifies the swing in the bottomline. That could work to the positive in the summer and frankly, seasonally the summer is most important period of the year. I think we’ll be okay in the third quarter and that’s most important quarter. But we are partly into that quarter now. So in higher Tahoe, the lease is about three years to go and we have had some discussions. We thought about renewing it and extending it and cautiously, optimistic, we’ll be able to forecast something there. On master developer, I don’t know what that means. It is in the RFP, okay. And I don’t really know what it means. When you look at $650 million, I think the casino aspect evidence is about 150. The west is ultimately somebody is developing mall, you’re doing 10 improvements for the tenant. There is condos in there. Somebody is selling condos. There is movie theater and our task would be find a mall developer, get them involved. Maybe they own all of it, maybe they own most of it, maybe we own a piece of it, maybe we don’t. Movie theater company, well, if I can get a good mall developer to develop the mall, usually it’s pretty easy to find a movie company and it wants to be in there. There is a health club in there. Well, we call the guys of Life Time Fitness, Equinox, and [indiscernible] and if you guys want to lease up [indiscernible]. So if there is an off lot of work, going together to pieces. And if you just look at casino itself, if you got in a partner and that’s what we don’t have, then your 150 cross gone to 75, a comparable part of that. And by the time we are doing this, which is three or four years away, we can probably figure out, how to fund half of the equity in that project just to plan out scenario. I have no idea. We are -- if we called for master developer, that’s long term, fits pretty well. We can oversee how this goes together. And so when I said we have a lot of work to do in the next two years, we do have a lot of work to do in the next two years. That’s why there is no rush to go to the legislature. Almost all of these projects that evolve here, if you go back to when [indiscernible] was selected, it developed two casinos at St. Louis. I think it took four years to get first one open, which used to be [indiscernible]. At Rising Star Resorts, we bought the land. We had bought the [indiscernible] in late 1992. And if my memory says me correct, we have LA Hill opened in the late 1998. Monte Carlo opened in about the same timeframe and of course, City Center is on that piece of land and didn’t open until like 2005. Just to put in perspective, [indiscernible] was 164 acres. This one is 135 acres. That’s a great piece of land. And so there is an off a lot that goes on in this land. And the idea is that we were the master developer and that might be renting a pad to somebody who owns a condos on it for example. So I have no idea that we draw a proposal and said we guys rent it, we’ll do our best to do it. We said in the proposal that we would anticipate investing significant sums but most of the money would come from our side.
Joshua Horowitz: It’s interesting. I guess, one of the predecessors of the company [indiscernible] most think that the Rising Star stands, I said the word, an arbitrage that’s the problem with property. And what I think of exciting about this new project is the inter play between you and the state. You almost get a little bit of leverage in proposing something like this and given your successful track record, maybe that gives you a little bit more leverage in terms of what you can say or what you can do with respect to the Rising Star, be it property tax adjustments or other concession. I don’t know. I could be making this all up to but maybe there is…
Lewis Fanger: No, no, I would tell you I met with a one very senior legislator yesterday, who had got to know last time. Last time here said you he is so negative. Can’t you come up with a positive spend of this. [indiscernible] I took -- because all of them were saying, no tables here, you are going to kill us, you’re going to kill us. I took your words to heart and thought about it. And I thought this is all positive, this is absolute win, win, win. It’s good for us, good for Indiana, and good for Indianapolis, and even good for Rising Sun. It doesn’t take anything away from Rising Sun at all. In effect, we would do it under that subsidiary, so it would be financially strong. And that’s what we assured the mayor of Rising Sun. And so it’s a way to have something that everybody wins. And frankly, I am sure the two casinos are like betting at the moment, but they don’t win. But if you really look at the math and on that website is the third party economic study, we have very little impact on them. They are 35, 40 miles away from us. It’s a really big market and we are talking about our really small casino. And so it really -- I don’t know if we can pull this up. Like I said, it’s just left my fingers and then sent it for a goal post 100 yards away. But it feels pretty good to be proposing something where everybody wins. We are long ways from finish line, so we will see.
Joshua Horowitz: Thank you.
Lewis Fanger: Hey, Josh. I will give you a little more color really quick on Northern Nevada. But if you think about it with how early the ski is worth close this year. We had a little bit of an awkward period where there wasn’t that usual traffic into the ski resorts and it was before the local started to come back to their homes over that live newer property. That usually happens in June and really going into July for the 4th of July weekend. And so keep all that in mind as you think about that property. As Dan mentioned, 3Q not going to what should be fine, not with locals are back.
Joshua Horowitz: I appreciate it. I guess while we’re on the topic of Nevada and I don’t want to steal everybody’s time, but any comments on the Eldorado MGM transaction that happened in terms of implied multiples or people’s appetite for Nevada or MGM. Like, I mean, I know maybe looking at Carano there, but any color from you guys given your long experience in the industry?
Dan Lee: I am going to -- I know the Carano’s, know of them, I actually know them a little bit, but they are going to operators and they are always going to operators. I know they now have a substantial public company. If you met with them, they are pretty stand up guys. And they have had that partnership there for years. It’s not a core asset for MGM. So it kind of made sense on both sides. They live in Reno, they live in [indiscernible], so it makes sense. Nobody calls us to see rest of it and that’s priced.
Joshua Horowitz: The implied multiple for that, any sense of what multiple EBITDA those products…
Lewis Fanger: I haven’t gone through the math, but I am not sure I used it as a comparable because they are already partners, right. So it’s kind of -- I am not sure that’s a relevant comparable. The comparable that everybody is talking is Pinnacle. I mean, the Pinnacle REIT deal is interesting idea. Of course, we always have that opportunity do we try to REIT and that it would primarily be the Silver Slipper should we. My guess is if we sold our real estate to one of the REITs or if there is really one big REIT, if we sold the real estate to that, we would get more than enough money to pay off all our debt. And so I think we have that alternative. We are not actually a taxpayer, so I don’t know how we really generate value at that point. We won’t pay taxes at least a few years but at some point down the down sure you look at.
Operator: Thank you. We will take our next question from Chad Beynon with Macquarie.
Chad Beynon: Hey, great. Thanks for taking my questions. First one just wanted to kind of talk a little bit about Silver Slipper. Dan, you mentioned it was kind of tough to I guess parse out what was from your operations in the new amenities versus the smoking ban down in New Orleans. Could you talk maybe a little bit about new client signups from non-resi customers and then also kind of what you saw from a spend per visit, spend points for customers who you were able to cut a room for, for the first time in a while? Thanks. And then I have a follow-up.
Dan Lee: Well, if you kind of bear it, I don’t know the answer for those questions and I am in Indianapolis and I bet Lewis doesn’t either. But what I do know is with the hotel we are getting a quite a few customers coming from further away than we did before. So places like Harrisville or even Mobil or something that we didn’t have a hotel deal for us. So people didn’t really have a choice and so that we segmented different ways than the more distant segment is up quite a bit since the hotel a little bit. And frankly now that I think about it, last marketing study I saw which I guess probably would have been for the month of June, we didn’t see nearly as big a lift from New Orleans, which would leave to me think that there is a smoking bans a plus but maybe not a huge plus. I recognized property was already up pretty strong in the first quarter and they didn’t have the hotel yet. And it was just the [John Turchi] [ph] came up with the bunch of new marketing programs. I will tell you a random number I do know. To-date this year, we have provided 40 tons of Dungeness crab on our buffet, 40 tons of Dungeness crab and Dungeness crab is pretty expensive, but you see the results. It was kind of like our revenues are up quite a bit and we maybe the biggest consumer of Dungeness crab in the whole country. I am sorry I kind of -- I don’t know the answers to your question, I am happy to get them and forward them to you. But I know the hotel is bringing in more distant clientele. I know people are gambling later, our casino used to die out like 9, 10 o’clock at night. These people have to drive home. Now we stay more fully staff later at night. And that’s been a plus. There is no question our hotels then a plus. But we are already up pretty nicely. The sweets aren’t opened yet, that will be very nice so.
Lewis Fanger: I have got a little bit of color there for you, Chad. If you look at the month of June, as an example, the number of trips versus last year’s June, they are up about 15%. Coin-in is pretty big, so our coin-in- has been hovering anywhere from up 20% to 25% on any given month since the hotel opened. If you look at the number of unique trips, that’s up about 4%. And so for us, it’s really been about seeing more people come in the door, dance very right. We are seeing people come in from further away. And then to Dan’s point as well, if you were to go on that for on any sort of weekend before, you’d start to see that floor die down around the 11 PM or so. And now you can go on the floor around 2 AM and you still can see it pretty bustling. And that’s because we have people on the room that they can head back up to and be a sleep within five minutes. So it’s been a plus.
Dan Lee: Yes. I will add a point, we do have room there to put us another tower which was to -- so that’s not imminent obviously, but there is ways to grow the Silver Slipper going forward and we have been kind of pondering some of that. It’s always up, but we have quite a bit of space there with the new things.
Chad Beynon: Okay. Thanks. And it’s great to see that you’re thinking outside the box as you always have with the RFP and also talking about value creation through a potential REIT at Silver Slipper. Before you took over, the management team had to consider buying a property, and to that kind that still help through, but the market has changed. This week we saw another closure in the market. Could you talk about your appetite if you have the cash to, if and when you have the cash to do so, or getting into another market, if you think there are opportunities where you could improve the operations and reduce the multiple from kind of where it’s currently trading? Thanks.
Dan Lee: Yes. Let me first point out, if you followed my career, I don’t think I’ve ever done an acquisition. I am very careful about acquisitions, okay. We want to make sure it’s a stable market, we want to make it’s a stable property with some upside and so we get offered a lot of stuff. We look at a lot of deals. And frankly, that is priced, every casino on Atlantic City and every casino on Tunica has been for sale repeatedly because those are declining markets. And it’s kind of like how do you catch up falling knife. What multiple is low enough to discount the fact that it’s going down. Now that being said, it is possible that we would do an acquisition some time, but it would be a very careful one and have to be valued appropriately, have to be in a market that was stable that we were confident was going to stay stable, where we thought we bring some table to improve it, but we are pretty careful about that. This company got to where it was by doing some sloppy acquisitions and that we do look at stuff and I am not going to say we would never do one, but if we do one we are going to be very careful about that.
Chad Beynon: Okay. Thanks. And last one for me. Lewis, what other options did you guys explore with the second lien notes and then maybe could you give us an update on tax for the remainder of the year, just to kind of understand where leverage peaks and kind of the cash flow bridge?
Dan Lee: Yes. Well, option-wise for the refinancing, we have always been wanting to try down the path of doing a refi and just kind of reset the debt into new refi pieces because that’s going to happen. But if you think about the covenants, if you look at the covenants, they got pretty tight in this second quarter that we just finished. And unfortunately, we had to spend sometime just kind of resetting that. There is no way we could have gotten a completely new refi done. We didn’t think before we had to go in and get all these covenants for 2Q submitted. And so what we did at first was focused on, on the existing debt, focus on the covenants, get those reset to just to account for the fact that the hotel opened up later than it was originally supposed to back in the day. And now, it’s really moved forward on those refi. So it’s been a good process, our bank group has been good, and so we are pleased. I am blanking on what part two of your question was there, Chad.
Chad Beynon: Just on the CapEx for the remainder of the year, now that the project at Silver Slipper is mostly behind us, just how to think about maintenance CapEx?
Lewis Fanger: There is not a whole time for us to do it from a maintenance point of view. If you think about the hotel at Silver Slipper, we are sitting at about $1.3 million or so CapEx remaining as of this point right now. We’ve got that construction term loan that will finish drive out, so it’s the $10 million in size, it’s $1.1 million want to drop at the end of June. And so you will see that fully drawn before the end of this month that we are in. And then out of pocket, you will see maybe about $700,000 or so plus or minus coming up out of pockets to finish out that construction project. And then everything else from a maintenance perspective, it’s all kind of discretionary, it at or when. We looked at the list, it’s not going to be a $1 million or $2 million worth of stuff, you might be a couple hundred thousand dollars worth of stuff, but it’s going to be modest I think. I don’t know if you have anything to add to that, Dan?
Chad Beynon: Okay. Thanks Dan. Best of luck. Appreciate it.
Dan Lee: Chad, on what Lewis said, if you studied the covenants, the existing debt has pretty aggressive amortization over the next year, even as revised. And so we are continuing to be very careful on CapEx just to make sure we live within the new covenant. So we will finish the hotel and obviously, we are pretty careful to maintain the Silver Slipper. We have been pretty careful not to spend too much money in Rising Sun until we figure out where we go with it. And the discussions with Hyatt, it’s possible that and as part of the conditions of extending the lease, we might agree to put in some new gaming equipment and stuff like that. But that’s the share that would be next year probably.
Chad Beynon: Okay. Thanks, Dan.
Operator: [Operator Instructions] We will take our question from Kevin Kovacs with CFI Partners.
Kevin Kovacs: Hey, guys. So I guess just kind of couple questions on Indiana first. I know you gave some color on Mojito Pointe and how that wasn’t very competitive in terms of other people who put in bids. Do you have any sense for how competitive Indiana is going to be either for even higher airport or just the 135-acre parcel?
Lewis Fanger: Well, I am sorry what place did you refer to that wasn’t very competitive, I am sorry, didn’t hear you?
Kevin Kovacs: Mojito Pointe.
Lewis Fanger: Honestly, it was pretty competitive, at least I thought and national I had a proposal to put a pretty big casino in New Orleans and get those names, but there is a local guy who paired up with the group and was going to put casino in Lake Charles. And at the end of the day I had proposed remember that actually fourth group who was local, but I think I proposed kind of the bigger dream. I am going to I propose a large casino with the Gulf Course, staying hotel, swimming pool, now stuff. And so it was well advertised, anybody could have shown up and we won. Now in here it’s a little different because the Airport Authority put out this request for proposals and it was well advertised into the process. They had a [indiscernible] airport so on. Anybody could have put in this proposal, but of course most casino companies probably wouldn’t thought of that, because it is a little bit out of the box, right. So the airport hasn’t disclosed who else made proposals. I suspect there are others. On their website they show you could submit questions to them and they responded on their website. So some architect was asking what power lines run to the site. There was somebody who’s working on something, I doubt it was a casino, and frankly I thought it was a stupid question. We used to be in airport terminal here. Surely, it’s got to be power lines, which turned out to be good. And so I suspect they have other proposals, but I doubt there’s another casino. Now I will tell you the proper public policy. If I were the governor trying to figure out what to do, I would do exactly what I detailed earlier. I would pull together a bunch of community leaders. And so once you guys do all study, this one is the best thing for Indiana and the best thing for Indianapolis. And that would provide an avenue for another casino company to put on a proposal if they want it. And so I’m not naïve even not to think that the Airport Authority is going to decide this and certainly we get to build the casino. But once the door is open, just go talking about the casino in Indianapolis, we will compete curiously to try to get those licenses. And we’re already licensed here. We had some pretty strong arguments. You’ll notice we insane that we would do it under the same license as Rising Sun, that’s there is subtleties that. One of the most important ones is there is a peer tax rate here. The first dollar of revenues only taxed to 5% and it works its way all the way up to 35%. Well, at $40 million of revenues Rising Sun ends up about a 12% tax rate. By putting this under the same license, going for the first dollar of tax, the first dollar at the new place would be tax but I think at 20% tax rate. And so we intentionally kind of did that knowing that financially it kind of hurts us because we thought somewhere down the road there is going to be people scream and that they should have a crack at it too. And so wait a minute, we’re not expanding gaming, we’re moving surplus slot machines. Whereas if one of the more successful casinos made a similar proposal, they can’t really move the machines, they need the machines, they have to generate the revenues they have. And so if they get it, it’s an expansion of gaming, you’re adding machines to the state. Now there are other companies like the one in French Lake and the one up in [Gary] [ph]. They probably have more machines than they need. And there’s been talk in [Gary] [ph] about moving the license within the City of [Gary] [ph] or we don’t want to lose the license. And I’m sure they’re scratching their heads today saying, we never thought of just moving half our slot machines. And there actually was a precedent. The race tracks operate all track betting borrowers. So under one gaming license, they operate in multiple locations and that’s really what we’re suggesting that one license two locations. But look, this is going to be a big discussion, a long process. We’re determined to make sure that we offer Indiana and Indianapolis the best deal they’re likely to find. I think what we proposed is terrific, but frankly we’ve told people for two days now somebody else’s suggestion that we haven’t thought of unless maybe we can figure out, we’re happy to make adjustments.
Kevin Kovacs: Great. That was actually my next question. Thanks for asking it. There was about the -- seen if there was any precedent you can think of, that’s helpful. So also in Indiana, you didn’t really talk about it, but there was some press about the parcel you bought in Kentucky. Can you kind of help me understand what’s going on there, like how much to pay for it? What is the next step? Legislative hurdles there and how much do you think it all cost?
Dan Lee: It was not significant. It’s underway, it’s not significant in pricing, I think it’s four acres. It’s actually a house. We bought it because there’s another piece of land that would make a great place for a ferry landing. And the guy wants that, told me he wanted this house. So I thought I would buy the house, it’s possible and now it’s naturally left the slot. And we can probably sell the house for what we have done it. And we’ll down to look at another place where we can have a ferry landing and we’re somewhere down the road there. But we still keep in touch with workers. So it’s kind of going back and forth trying to find a way to get a ferry boat. At the end of the day, it takes Boone County Commission approval and that will be an important discussion and we’re trying to move towards that. So we’re trying to align things up so that we have something that has local support. It’s very important that the community want it, so we want to put it somewhere where they want it. There is a limit as to how much we’ll pay to get a foot whole there. There is one guys who kind of publicly came out and said, I’m opposed, I’m going to kill this, I don’t want the traffic. And it’s funny his wife set up a website where people could comment. Last time I look, there were seven comments, six of them wanted the ferryboat. And frankly, the traffic issue is kind of the silly issue. We’re talking about ferryboat like the Anderson ferry, that’s up in Cincinnati. It carries 10 cars. It takes 10 minutes for the ferry to go across and back. So you’re talking about 10 cars every 10 minutes if the ferry is running a 100% full. That’s one car a minute and you really worried about the traffic. And so I think we need to figure out the Tahoe’s on the Kentucky side. And then you have to have a spot on the Indiana side directly for us. Most of land on the Indiana side is either owned by us or controlled by the City of Rising Sun. And so there is number of places we can land there. But on some of our land, we would have to build a road across some fields that we own and that would take core engineer approval on site. So we’re exploring lots of different ways to try to get a ferry boat. The ferry boat with the landing, the boat and everything is probably less than a million dollars and the other rely on it is really high at the facility. But its frankly just one of many things we’re looking at doing. And they gain lots of publicity when we bought the house. The house it’s not the best place to have a ferry landing because it’s in the middle of this long narrow road. And so while we not going to generate a lot of traffic, let’s not send them down the long narrow road. We really bought it thinking we swapped the house with the guy who has a better piece of land. Then he change this mind, so we move along and we may list the house for sale.
Kevin Kovacs: Okay. And just on the cap structure, I got a few questions there. First one is really quick. When you disclose $58.5 million of first and second wing, is that include the revolver, the construction revolver and the cash flow revolver?
Lewis Fanger: Yeah. That’s all in.
Kevin Kovacs: All right. And I guess on the refinancing, would you guys use kind of the next step clear in the timeline? Yeah. That’s good. Thank you.
Dan Lee: Lewis, you want to take that?
Lewis Fanger: I was going to answer that one as simply as it’s ongoing, Kevin. We would love to have a new deal done. We unfortunately had a hit pause on doing any sort of refi to just get these covenants recrafted. And as you saw those finally got executed late last week on Thursday and the 8-K went out on Monday. So now that the work is done, we can pick back up and run with the refi ball. So give us some time. Is it something that’s going to happen before year end? I would say, maybe but you may well see it in first quarter of next year.
Kevin Kovacs: Okay. Sorry. I’m just going to jump in one more time. So since the last both of you haven’t been -- I know you’re working on the amendments but have you been talking on anyone, do you have any idea kind of what the market thinks about it?
Lewis Fanger: We would look at the same thing that you would look at which is market comps. It’s not a deal that has been broadcast very widely, if that’s what you’re asking. So short answer is not quite yet for you, nothing that we do want to disclose to you on this call quite yet.
Kevin Kovacs: Right. Thanks, guys.
Lewis Fanger: Yeah. You got it. Thanks, Kevin.
Operator: Thank you. We have time for one more -- I’m sorry. Go ahead.
Lewis Fanger: Oh no, I was going to say, probably have time for one last question. Melissa, you read me.
Operator: Okay. We have a question from Joshua Horowitz with Palm Ventures.
Joshua Horowitz: Hi. Just a quick follow-up. Lewis, is there any more commentary on the corporate expense? Any progress on reducing that further? Are you now at a run rate where you think you’re comfortable, is there more to come out of that? And then the final follow-up which is on the rise of this for America Place, is there any other way to monetize your exercises that you’re not successful in getting that project?
Lewis Fanger: I’ll take the first really quick, Dan. On corporate cost, expect it to be where it is at least for the near term. We’ll start to cut through more of these costs as I get to the refi. But with Dan and I being so near, we kind of took the list of important things and we’re slowly going down at one by one. We took out a lot of the bigger cost that we saw and some of those costs really affect the properties more than they affect corporate directly like healthcare is an example. But we’ll start with a more detailed analysis over the next few months on that sort of stuff.
Dan Lee: And then license, if you to move away since you have to go through legislature, even to move the slot machine. So we just got chop down of legislature than you’re looking at Rising Sun, doesn’t earn anything. So I don’t know how -- if you try to sell Rising Sun, I guess you might make some money. It’s got a golf course, two hotels and stuff. But I’m not sure it’s a best avenue. I actually think its better if we can figure other way to make some improvements. It’s kind of an attractive hiding place. If you look at the other casinos, they all have a certain sameness. And so it is different so maybe we can celebrate that difference. And we’re looking at doing some unique things to try to get people to come to us whereas if you walk in to Belterra Park or Downtown Cincinnati or even [indiscernible] or even Hollywood, they all got kind of great big boxes. All look like they have the same interior designer as the Red Rock station in Las Vegas. And we’re different. Well, there is lot of Victorian river boat and let celebrate the difference. So we’re far from giving up and I think we can find ways so we keep poking at our competitors, anyway we can think of, we had a marketing program recently that was, I guess, modestly successful at least that generate some traffic where we put -- build words up near competitors and say, bring in your three diamond card or whatever card you have, show it us and we’ll come to and you can keep your points. And Harrisville has spent 20 years trying to develop this complicated system where instead of just getting comp now, you accumulate points and then you can redeem those points for a buffet, or hotel room and so on. And I would say, at some point you really as we’ve kind of marketed to our own [indiscernible] what’s market there is. So for us to go and say, okay, you get this here six diamond card, let play, come on down our place, we’ll buy you dinner for free and you can keep your points there. Whereas if you have that dinner at Harrisville they are going to take points out of your account. And so it was really kind of tweak directly at [indiscernible] and we did generate a fair member of customer calls that way and hopefully are training those people under regular customers. I won’t say it was huge but it was helpful. And so we keep trying to figure out creative innovative ways to get people to come to in location that is geographically disadvantage. And this -- I don’t know where this goes in Indiana. They may come back and say, you know what, not Indianapolis, but if you guys want to build little casino in Tahoe, we’d be okay with it. And if we build the small casino in Tahoe we make money. So I don’t know, we’re trying to be part of the solution for Indiana, not part of the problem. And we’re trying to propose things that’s good for the state and good for the city and hopefully that works.
Joshua Horowitz: Thank you.
Operator: And there are no questions in the queue.
Dan Lee: Is that last.
Lewis Fanger: That’s it. Dan, any last comments.
Dan Lee: No. just thanks everybody for their support and we’re working our best to create value for shareholders, you will appreciate that. So and I think it well and eventually we’ll turn to let the stock and take it one and not take it way. So I’m actually more optimistic in the company now than I’ve been every since I get involved in that. It feels like we get things go on the right way operationally. We’ve got some good ideas for where we can generate growth going forward. We know how we need to refinance balance sheet. I thought Lewis was little cautious as regard, we are quite sure we could refinance this debt and turn to result in lower interest in the last round of debt. Recognize very large upfront fees on the last round of financing. So the effective average cost of the debt we have today is 10.2%. I think we could refinance that at significantly lower all-in cost and we’re working on that next six months. And we are small company. It’s -- when we invested about $10 million getting [indiscernible] not ready to go. We were about to barrow $500 million and take ground. When go you can ask Carl, Lewis and I, and we kind of quickly they offered us $32 million so that way we made $20 million profit. I don’t know if we can pull that off again, but $20 million divided 18 million shares is a dollar a share, which is two-thirds of what the share price is. So I don’t know where this goes and of course, and I’m not saying that we will get the entitlement in solid. Actually it takes long-term even than if I had a company like Full House it probably would have kept that project and if you look at the results that goes nugget and join day, I can tell you, many morning have wake up and wish I kept that project we’re doing extremely well. And I can tell you at casino on the west side of Indianapolis is an even bigger opportunity than that was and we like to figure out how to do it so. Anyway, thank you very much everybody and talk to you in the quarter.
Operator: This concludes today's conference and thank you for your participation.